Operator: Hello, everybody, and welcome to the Bumble Third Quarter 2025 Financial Results Conference Call. My name is Elliot, and I'll be coordinating your call today. [Operator Instructions] I'd now like to hand over to Will Taveras, Investor Relations. Please go ahead.
William Taveras: Thank you for joining us to discuss Bumble's Third Quarter 2025 Financial Results. With me today are Bumble's Founder and CEO, Whitney Wolfe Herd; and CFO, Kevin Cook. Before we begin, I'd like to remind everyone that certain statements made on this call today are forward-looking statements. These forward-looking statements are subject to various risks and uncertainties and reflect our current expectations based on our beliefs, assumptions and information currently available to us. Although we believe these expectations are reasonable, we undertake no obligation to revise any statement to reflect changes that occur after this call. Descriptions of factors and risks that could cause actual results to differ materially from these forward-looking statements are discussed in more detail in today's earnings press release and our periodic filings with the SEC. During the call, we also refer to certain non-GAAP financial measures. These non-GAAP measures should be considered in addition to and not as a substitute for or in isolation from our GAAP results. Reconciliations to the most comparable GAAP measures are available in our earnings press release, which is available on the Investor Relations section of our website at ir.bumble.com. With that, I will turn the call over to Whitney.
Whitney Herd: Hello, everyone, and thank you for joining us today. Helping people find love has been Bumble's focus since day 1. What made Bumble successful from the start was simple but powerful. We built trust with women. That trust became our moat. It created a healthier, more balanced member base that drove engagement, retention, growth and a global brand. Historically, most dating products skewed male, leading to an uneven experience where women often felt overwhelmed and disengaged. Bumble changed that by putting women in control, creating trust, balance and a higher quality member base that produce better outcomes for everyone. Today, we have the brand long identified with putting women first and a deep understanding of what women want from love and connection. This brand identification is perhaps our biggest strategic asset. That's why we've returned to that core, winning with women because we believe that when women feel safe, respected and confident and when they meet quality matches, everything else improves. Connection becomes more meaningful, engagement more genuine and the business more sustainable. When I returned as CEO in March, the first thing we did was listen deeply and intentionally to women. What we heard across markets was consistent. People want to trust who they're meeting. They want better quality matches, and they want more authenticity. Those insights became the foundation of the quality over quantity reset I've been talking about over the past 2 quarters. Every step we have taken since our product updates, investments in AI and every marketing move ties back to one goal, making Bumble a better experience for women because when women are happy, the entire ecosystem thrives. That is the focus driving our transformation into the love company, expanding beyond dating to build the global platform for meaningful relationships, romantic and platonic. At its heart, what women seek on Bumble is love, and we are building the product, the technology and the brand to deliver it. Since our last call, we've executed this reset with real focus and urgency while also delivering on our financial commitments. For the third quarter, our results are near the high end of our guidance range for both revenue and adjusted EBITDA. We are also seeing the expected short-term effects of prioritizing quality over quantity. Member registrations are lower in the near-term, but we believe that the foundation of the business is getting stronger. Early indicators suggest that retention is improving and ARPPU is growing. The entire team is heads down, laser-focused on executing this plan. The early signs we're seeing just months into our reset reinforce our confidence in our strategy, and we look forward to sharing more details as we progress further and have more data and visibility into trends. We are working aggressively to improve the mix of engaged approved members on our platform, reduce the noise and build a higher quality community. Our Beehive Fit framework is how we are measuring our progress against these goals. We are emphasizing members who are verified, thoughtful and focused on finding love and connection while filtering out low intent profiles and bad actors. This transformation isn't about growth for growth's sake. It's about growing right. We're deliberately trading near-term volume for quality because that's what we believe builds long-term trust, stronger engagement and sustainable growth. Consistent with this goal, in August, we launched a major update to Bumble Date focused on trust and safety. This was more than a feature release. It was a foundational step forward. These updates were built directly from what we heard from members. Men told us they weren't getting enough meaningful interactions. Women told us the profiles they were seeing didn't give them the context that they needed to take action confidently. So we've built tools to close the gap. We introduced richer profiles that let people show more of who they are. We added stronger verification features like phone number verification and selfie video verification to increase confidence. And we launched our new coaching hub filled with content from relationship experts and a help hub to reduce the time it takes to get our members to resolutions for any problems on the app. These are not cosmetic changes. They are designed to create trust to make dating more rewarding because when women feel safe and inspired to show up as their full selves, connection becomes easier for everyone. The problem we're solving for isn't a demand problem. The desire for love and relationships is universal. To deliver on that desire, we have built a product road map that is defined by fixing our members' pain points. Let me spend a moment on exactly how we think about this. It starts with strengthening the foundation. When you ask members what their #1 complaint is with dating apps, it's really wanting more trust, safety and authenticity. The August update landed this first piece. We're building tools that guide members to put their best selves forward and engage with confidence. Between now and the spring, we'll maintain a steady drumbeat of releases, tangible improvements that reflect what we're hearing from our community. Individually, the tools and features we introduced may not sound game-changing, but taken together, they are the critical building blocks for addressing members' pain points. The second largest complaint members have is that they're not seeing who they want to see. This is about the fundamental technology that any dating app has to get right. A major portion of the work we are doing on the UI side is building better signal capturing so that we can supercharge our matching and recommendation engine. Right now is an incredible time in technology to be doing this. AI makes so much more possible. It unlocks the ability to reinforce and enhance our matching engine in ways we could never before. These AI-driven improvements won't necessarily be visible to members, but they will deliver what they want, more quality matches. How does that work? To get good matches, you need great signals. Great signals come from stronger profiles, which is why we are starting at this foundation. More robust dynamic profiles gives both sides of the marketplace more info to react to. This gives our matching engine the high-grade fuel it needs to deliver the best possible experience and outcomes faster. As we get these pieces right, you will see more member-facing innovation. More social tools, for instance, which are coming next year and behind the scenes, better customer service. We've already made a lot of improvements in response times and problem resolution through automation over the past year. We believe there's a lot more to accomplish here. Together, all of these components drive the experience of our members today and those yet to join our platform. We're being really thoughtful about how we're sequencing our work and what we're putting out there and when, which brings me to the final pain point. Members want all of the above, and they want the outcomes faster. Our AI-first cloud-native platform, which we expect to launch in mid-2026 will become the engine of Bumble's future, helping us personalize at scale, enhance safety further and continuously improve the experience for our members. This new platform is expected to give us the innovation speed and flexibility to adapt faster than ever before. It's how we'll turn insights from member behavior into meaningful real-time improvement. We see this new platform as the unlock to restoring long-term product-led growth. In parallel, we're building something entirely new, a stand-alone AI product that will become part of our portfolio. We believe it will be unlike anything else in the market, powered by our deep understanding of human connection and supported by the robust data, brand and infrastructure that already set Bumble apart. We have begun internal testing as well as getting direct feedback on the concept to ensure we get this right. While we continue to enhance Bumble Date, we're also broadening our ecosystem through Bumble BFF, built on our modern Geneva platform, the new BFF app combines friend matching with group management and event planning. It's the next step in transforming Bumble from a dating app into a full platform for connection, and it is already performing well with increased retention compared to the old app. Our primary audience in the near-term is Gen Z and millennial women, the same demographic that powers Bumble Date. In 2026, we will expand this even further, adding group and community discovery so people can more easily find their people and form real friendship offline. BFF is both a growth opportunity and a launch pad for new social experiences that we can apply across our portfolio, further strengthening Bumble's position as the place women choose for friendship, love and belonging. In Q3, we introduced our For the Love of Love campaign, a celebration of real success stories and real connections. It's a reminder of why people come to Bumble in the first place to find love in all of its forms. The reaction has been encouraging with a 4 percentage point improvement in awareness among single women in the U.S. aged 22 to 45. Our goal is simple: to be the most trusted, highest quality women-first platform in the world, the brand people turn to when they're ready for something real. Across Bumble Date, Badoo, BFF, we're more differentiated and AI-driven innovation, we are building a connected portfolio of love. We believe the work we are doing today is strengthening our business and setting the stage for durable, profitable growth. We are proud of the progress we are making, confident in our strategy and focus on execution. We have conviction in where we're headed, and we are so excited for the quarters ahead. Thank you so much for your continued support. And now I will turn it over to our new CFO, Kevin Cook, who I am happy to introduce to you all today. Kevin has already brought fresh perspective and strong operational discipline to the company, and I am so excited to have him here to round out our outstanding new senior leadership team.
Kevin Cook: Thank you, Whitney, and good afternoon, everyone. In my first months at Bumble, I've been impressed by the strength of our brand, the capability of our teams and the clarity of our vision. As Whitney mentioned, our third quarter results reflect our quality-first prioritization and ongoing strategic reset. We remain focused on improving member experience, strengthening the foundation of the business and maintaining financial discipline. While some of these actions create near-term headwinds, they are designed to position Bumble for healthier growth and stronger monetization over time. Together with continued product innovation and market expansion, we believe this is the path to durable long-term revenue growth. I will focus my comments on our third quarter performance before sharing guidance for the fourth quarter. Our third quarter results came in ahead of our expectations, but also were heavily impacted by our transformational work. So I think it's useful to start with context on the status of this work and the related puts and takes into what we are reporting today as well as our outlook for Q4. First, with respect to revenue, during Q3, we launched our August product updates focused on trust and safety. As Whitney has explained, we are committed to improving member base quality, and we expected these updates to result in increased attrition of targeted member segments over the near-term. That attrition is reflected in our monthly active user counts with the associated reduction in paying users creating a headwind to revenue this quarter. Since the trust and safety rollout occurred relatively late in the third quarter, results for Q4 will reflect a comparatively larger full quarter impact, both from a paying user count and revenue perspective. The second factor is marketing. We discussed last quarter how we largely paused marketing spend and in particular, stopped most performance marketing as we shifted our marketing posture to align to product launches and highly targeted user acquisition. Overall, this shift drove a significant year-over-year reduction in marketing expense and a corresponding benefit to adjusted EBITDA. This reduction is inclusive of the cost of our For the Love of Love brand campaign launched in August. At the same time, the reduction in marketing substantially contributed to the decline in registrations, active members and payers. The current performance marketing strategy has begun to show encouraging results with targeted audiences, attracting more approved-ready members into the ecosystem. While marketing spend is not expected to return to pre-transformation levels as we are focused on efficiency, we do expect some spend to return moving forward. The third factor to discuss relates to personnel. At the end of the second quarter, we restructured our headcount to align with our product and marketing strategies. We noted at the time that we expected to reinvest much of the savings from headcount reductions, and we are already making selective headcount additions primarily in AI, product and engineering roles that support further innovation. As a result, we saw modest benefits to our Q3 expenses related to headcount. Consistent with the tech and product-led organization, this controlled hiring will continue into Q4 and beyond. Hopefully, this discussion is helpful in shaping everyone's understanding of our performance as we execute on our strategic priorities. I'll now take you through the numbers. Unless stated otherwise, results are presented on a GAAP basis and all comparisons are year-over-year. Total revenue for the third quarter was $246 million, a 10% decline from a year ago. Foreign currency exchange rates contributed $4 million to revenue in the quarter. Bumble App revenue was $199 million, also down 10% year-over-year. Badoo App and Other revenue declined 11% to $47 million. Total expenses for Q3 were $183 million. On a non-GAAP basis, which excludes stock-based compensation and other noncash and nonrecurring items, operating expenses were $163 million, a decline of 15%, driven primarily by a decrease in marketing activity as well as the headcount restructuring previously discussed. Turning quickly to our key expense categories, which we report on a non-GAAP basis. Cost of revenue was $69 million, representing 28% of revenue, down approximately 1 percentage point year-over-year, with incremental improvements due in part to early testing of direct billing initiatives. Product development expense was $25 million, an increase of 14% year-over-year. Sales and marketing expense was $32 million, down 50% year-over-year. G&A was $37 million, an increase of 38% year-over-year, driven primarily by the cumulative adjustments for certain indirect tax obligations related to prior periods. Net income was $52 million. Adjusted EBITDA for the quarter was $83 million, up 1%, representing a margin of 34%, up from 30% in the year ago period. Please note that included within adjusted EBITDA is a negative impact of $12 million related to prior period indirect tax obligations. Nonetheless, adjusted EBITDA margin is temporarily elevated due to the factors I described, including the cadence of both marketing spend and our organizational realignment. We expect our margin to revert closer to historical norms as we complete technical and specialized hiring, reinstitute brand and targeted user acquisition spend and invest in updated product and our new tech platform. Q3 cash flow from operations was $77 million compared to $93 million in the year ago period, and we ended the quarter with $308 million in cash and equivalents. As planned, we repaid $25 million of our term loan in the third quarter. Looking ahead to the fourth quarter, as previously contemplated, our outlook reflects our expectation for continued attrition in active and paying members as we maintain higher quality standards across the platform with a full quarter of impact planned from the initiatives implemented in August. While Q4 will be challenging, we currently anticipate that the rate of sequential paying user declines will improve beginning in early 2026 as we largely complete our trust and authenticity work. As Whitney highlighted, it is early, but these measures are showing signs of improving retention and increasing average revenue per paying user. The thesis continues to be that a better member experience will result in higher retention and drive members' perception of value, leading to increasing revenue. For Q4, we expect total revenue in the range of $216 million to $224 million, representing a year-over-year decline of approximately 17% to 14%. We expect Bumble App revenue in the range of $176 million to $182 million, representing a year-over-year decline of approximately 17% to 14%. Direct billing tests continue to progress and nearly all members in the U.S. now have some form of direct billing available. We expect to continue to refine our direct billing offerings in Q4. We expect adjusted EBITDA in the fourth quarter of $61 million to $65 million, representing a margin of approximately 28% to 29%. Before wrapping up, I want to call your attention to additional information we reported today in our earnings press release and accompanying 8-K pertaining to our tax receivable agreement that was created in connection with our IPO. A special committee of our Board has agreed to a transaction whereby the company will purchase all parties outstanding TRA rights for approximately $186 million. The transaction eliminates the company's TRA liability in full. We believe the transaction is a positive development for Bumble and our shareholders. It removes a large liability from our balance sheet at favorable terms, thus simplifying and creating a more efficient capital structure. By terminating payment obligations under the TRA, the transaction also improves future cash flows. And finally, it greatly improves the company's strategic flexibility moving forward as we work to create shareholder value. I'd also like to note that we are funding the termination agreement with available cash given our solid balance sheet and cash-generative business. As a result of the TRA transaction, which substantially reduces our liabilities and deleverages the business, we no longer plan to pay down $25 million of our term loan as discussed last quarter. In closing, there's a lot of work ahead, but early indicators suggest that we're on the path to reshaping the core business and positioning the company for future revenue growth. From a financial perspective, we're prioritizing disciplined expense management, solid cash flows and the flexibility to invest in our strategic priorities while preserving profitability. We believe we're setting the foundation for a healthier, higher-quality business that will monetize more effectively over time. Operator, we'll now take some questions.
Operator: [Operator Instructions] First question comes from Nathan Feather with Morgan Stanley.
Nathaniel Feather: Two from me. First, Whitney, now that you've gotten back in the CEO seat and are really starting to make some real product changes, if we zoom forward 2, 3 years, what's your key vision for how Bumble will really work differently from today and be able to drive the successful outcomes? And then a little bit more short-term, but what visibility do you have into the timing and magnitude of when revenue growth might bottom and then hopefully start to improve, especially given the talk of potentially paying user growth bottoming in the first?
Whitney Herd: Thank you so much for the questions. I appreciate it. So let's start with the 2- to 3-year outlook. I think there's a slight misconception that exists with folks looking at the dating industry, thinking that it's the swipes that people are dissatisfied with or it's this or it's that functionality. But the reality is, and I just want to put this extremely bluntly, our product road map for the foreseeable future, for the years to come is solving for people's pain points, particularly women's pain points. And frankly, that is how we got here. That is truly what differentiated Bumble from any other dating product that had ever existed. If you think about it quite simply, you don't have a balanced member base or ecosystem or dynamic when we're talking about heteronormative dating if you don't have a place that women want to be. And frankly, that's what Bumble has been synonymous with for all of these years. So when we look to the future, I don't think it's all that complex that you have to reinvent the wheel. The wheel works. And frankly, the demand has not changed through our history. As human beings, we just want love. We want relationships. And frankly, we need it to survive. How we deliver that needs to be modern. It needs to be current, and it has to feel up to par with where people are today with what they expect from technology. So what's so exciting about right now, and I cannot overemphasize this. What AI gives us the ability to do? It gives us the ability to solve our members' pain points to hear women and say, "Oh, this is what you want from a dating product. Oh, you don't want this to ever happen to you again. Oh, you want to meet this type of person and you want more control over that experience." What's phenomenal about our opportunity right now is, when we have this modern tech stack that we are operating on top of we will be able to deliver these changes to our members in a matter of, hopefully, days to weeks versus months. And frankly, even historically, it's taken companies years to build certain things. So we have a superpower because we listen to women. We have women that believe in us globally, and this gives us market expansion opportunity. This gives us a dynamic opportunity to really rescale once we have this quality approach really under our belt, and we're making great headway. So as you know, and I'm so grateful to all of our shareholders, we're very early in this transformation. I stepped back into the seat in March. We actively got to work. We have a brand-new executive team. They are superstars, and we are very bullish on going all in on having the highest quality platform. And that's not just from a member base standpoint. That's from an experience standpoint. You should come to Bumble no matter who you are, and you should be able to be very deliberate in what you're looking for and you should be able to get the great high-quality match as soon as possible. And hopefully, that should lead you to love. So that's the 2- to 3-year plan is really just build for the demand and answer the wishes and the wants and solve the problems of the dating market around the world. AI is going to be a huge part of this. But ultimately, we're here, and we're so excited about it. So as far as when do we see a return to revenue growth. So I know this is a tricky one for people to follow along with in such tight time lines as far as earnings calls go. But we've got to complete this reset. Frankly, we have to complete the trust and safety efforts. You've seen that the Q4 numbers really reflect most of the impact of that. And it's largely what drove the payer decline along with us really pulling back on the performance marketing. But one point I'd like to make quickly, and then I'll wrap this up is, we've actually -- because of all this work we've done around quality and the Beehive Fit framework, we've actually found ways now to go do targeted performance marketing that brings in high-quality, what we call approved or likely to be approved members. So we can go back to that here in a very precise and targeted and measured way. So overall, that is on the horizon. We do see an end in sight if that makes sense, and we're very fully committed. Kevin, is there anything you'd like to add to that?
Kevin Cook: Yes. Nathan, it's Kevin. Thanks, Whitney. So as you might expect, we're not forecasting revenue beyond Q4, but I can give you an idea of the arc, right? So just thinking about the Q3 decline in payers, for example, the decline was driven primarily by 2 intentional strategies designed to improve member base quality and, of course, member experience. You're familiar with some of these, but let me just repeat them for clarity. So trust and safety work and a reduction in our marketing spend together contributed approximately 80% of the decline in paying users on a year-over-year basis. So it's important to recognize that we control these reductions to a large extent, and that this strategy is all consistent with the reset that Whitney outlined. In terms of sort of progress in executing that strategy, just looking at some of the things that we know, and as Whitney highlighted already, it's extremely early. We've only been at it for about a quarter, but we are seeing some signs of encouragement. We saw a modest improvement, and you might have observed this in our prepared remarks, but we saw a modest improvement in retention, for example, over the quarter. We saw an 11% improvement in ARPPU in the quarter for Bumble. We, in addition, saw very strong uplift in brand awareness and brand perception among women in the quarter, mostly related to our brand campaign. And we are -- we continue to make progress on this internal framework you've heard us refer to before, the Beehive Fit framework, where we are attempting to lift to members from what we call internally the improved category into the approved category. And there, we are seeing all of the categories moving in the right direction. And so, that incremental progress, it's going to take time, of course, but that incremental progress is encouraging as well. Remember that the approved members show significantly higher engagement and they monetize at more than twice the rate of improved members. So apart from understanding, as Whitney was suggesting that the functioning of the ecosystem, it's essential to have high-quality members as proxy approved members, it also has an obvious impact on business performance. So I'll pause there, Will, and see whatever questions we have or Nathan's got a follow-up.
Operator: [Operator Instructions] We now turn to Andrew Marok with Raymond James.
Andrew Marok: Maybe digging into that last point that Kevin made there on the improved bucket. I know that was going to be a major initiative in kind of bringing along the improved members to ARPPU. And I understand it's probably a pretty wide spectrum, but is there anything specific that you're seeing out of those improved members that are giving you signs for encouragement or perhaps caution? Or anything else that you'd like to call out within those that you think would be important for us to look for as we go into 4Q and beyond?
Whitney Herd: Thanks for the question. So I'll take that. And if Kevin wants to add on, we'll do that after. So I think it's really important to understand that a lot of folks have the capability to be what we would call approved members in just a couple of tweaks. So I'll give you a quick example. You might have a great person who is looking for love, but they have no clue how to write a bio. They only have one photo. So while they could be going out on lots of dates and getting a lot of interaction, because they have limited knowledge on how to set up a dating app or how to show up at their best self, they actually get stuck in what we call this improved category. And so, what we're really seeing is the more profiles photos someone adds going through just a couple of these quick steps with the trust and the safety tooling that we've introduced, they get more matches. They get more right swipes, they get more engagement. An approved member has better outcomes. And as Kevin just stated, they have higher retention rates. They monetize much better. And frankly, it just improves that entire flywheel, and it really gives people more to operate with. And so, when we focus on improving the improved, not to be redundant there, there's huge opportunity here because the vast middle is somewhere stuck in the middle. And so, this is what we're focused on with this road map that we keep talking about. Building an exceptional product experience doesn't have to be some fancy flashy new feature. It's frankly, "Hey, how do we get onboarding tools in the hands of our members so that they can set up a remarkably robust and authentic and great profile in a really short amount of time, and then they're out in the dating pool." And so, these are just a couple of examples of how really just enabling the system to provide easier tooling to get out there and to move into the proved category, it pulls the tide up for everyone, and it really enhances the experience for everyone. So while we're early and while the metrics at math aren't suggesting this huge monumental moment, bearing with us and having some patience is critical here because this is the strategy that wins in dating. And I believe that I can speak to this with a lot of conviction. I've been at the forefront of this industry, frankly, on the front lines of modern dating technology since I was 22 years old. And I have seen this front and center when you have a healthy balance of women on a product, when people fill out their profiles with high-quality information, when they are not flooded with removed profiles and they see who they want to see. They get good matches, they get into great chats, they go on dates, and that's why I meet Bumble babies every day when I go out into the world. This works and this changes lives. We just need to land the strategy with returning to quality, and then we will reaccelerate on all of our growth opportunities in new markets and core markets, and we're here for it. We're very excited.
Andrew Marok: Great. Really helpful color. And then maybe one quick one for Kevin. I'm not sure if you've seen the proposed transaction or the -- excuse me, the proposed settlement details between Google and Epic today. But just wondering if you have an opinion on how that kind of contrasts with what you have assumed into your guidance for the cost of revenue line.
Kevin Cook: Okay. So no, I haven't seen the details. So I don't have any insight to share there. I can comment briefly on sort of our direct billing initiatives. As you might expect, we -- as soon as permitted, we set up alternative payments, and we've been testing those strategies throughout Q3, and we'll continue to do that in Q4. You saw in our cost of sales a meaningful improvement in Q3. And we would expect to continue to -- while we will refine strategies around alternative billing throughout Q4, we'd still expect that benefit to persist into Q4, and we should have a full quarter effect of cost of revenue benefits.
Operator: We now turn to Ygal Arounian with Citi.
Ygal Arounian: I wanted to ask specifically about the stand-alone AI product, Whitney and sort of your thoughts and visions around that, but something that will sort of always be stand-alone. What's the sort of AI-first dating app experience like? And how does that impact how you view the core Bumble experience and how that overlaps with that vision and strategy?
Whitney Herd: Thanks for the question. So I think before I talk about our upcoming stand-alone AI product, I actually did want to speak about 2 things surrounding AI. So first and foremost, I'm sure you and everybody else tuning in have been reading a lot and hearing a lot about the new AI-focused dating apps. I really want to make an important point here. Throughout my career, I have seen hundreds of dating apps, dating products, dating matchmakers, you name it, hit the market and fizzle and fumble. There's a reason why there's only a couple of us that stand as strong as we do on a global level. And that's because building critical mass and building a trusted double-sided marketplace is incredibly difficult to do. So what really gives us a unique opportunity here and a right to win is, we have extraordinary data. We have unbelievable sets of groups of people around the world that are looking for love that are actively searching for dating and us being able to lean into this moment with AI and provide them a modern experience that doesn't collapse or change the current experience. So you've got to separate these in your mind. You've got Bumble Date today, and we're going to talk about how AI affects that in a moment. But the stand-alone product is something that, in my opinion, has never been done before. It is going to be very unique. I am extremely excited about it, and our team is very excited about it. The way it ultimately -- we can't disclose the details of how it will work. But what I will leave you with is, if dating apps have predominantly been discovery oriented, right? You get on and you kind of just discover people. This is really the first time that there will be precise search involved in this. And so, when you look at a lot of our consumer products we all use on a daily basis, they're powered by great search and great algorithms. So this AI product is going to lean into a new way of thinking about dating. And how it really will flow in our category -- in our portfolio over time is very exciting because, yes, it can be stand-alone. However, we can take a lot of those learnings, and we can take a lot of that modern technology and layer it in to the core products that we already have. You're seeing us do a bit of this already with BFF because BFF, we've migrated on to the Geneva tech stack, and I'll give you a quick example, what would have taken us a few months at Bumble Date to really update. So Date 1.0. That's the tech stack we're on right now at Bumble Date. It might take us months to build a certain feature or product change for our members. We had a piece of feedback from members at BFF, for example, and we had that problem fully changed and involved within a week where that would have taken months on Date 1.0. So we are already integrating some of these AI changes into 1.0 to solve customer needs. But what's very exciting is you'll have this tandem approach to AI in our group because the upcoming 2.0 infrastructure for Bumble Date, which we just said will be mid-'26, that will give us the capability to build tooling and we were speaking earlier about how certain features can be engineered in hours now due to this technology, it's revolutionary. So we're going to be able to move so fast. So the answer is yes, it will be stand-alone this new product. However, it will have overlap crossover function just like we're doing with BFF, where we're learning about how groups behave and how communities behave so that we can build that into the core dating product. So I hope that answered the question. If it didn't, please let me know.
Ygal Arounian: It did and very helpful. And I guess maybe a little bit more near-term, just as you get through to the spring product release and you're talking about kind of the, I guess, steady releases through spring and solving pain points. Are there a few things that you see as being sort of the biggest drivers? I know we're doing all the cleanup work and enhancing the user experience on one side, but in terms of like new products that are coming out, are there a few things that are sort of excite you the most?
Whitney Herd: Yes, that's a great question. So this might be a slightly unpredicted response that the least exciting features on paper are actually the ones that move the needle the most for us sometimes. So when you go and invest time and energy and optimization, for example, into customer service, that has a meaningful impact on our members' lives. They are feeling heard. They're getting their problems resolved. Now, on paper, that's not some flashy new release. So what we're really focused on right now between the launch of 2.0, and I'm using that as a reference point. 2.0 is the new AI cloud-native tech stack that Bumble will live on in the future, which is the mid-'26 technology. But if you look at everything we're doing between now and then, it's just listening to our members, right? Our product road map is our customer pain points. And as I said, you don't ask members, "Hey, what's not working for you and they say, "Oh, wow, I really wish you had this flashy crazy feature." They just say, I want a better profile. I want to be able to see more information about someone. I want a safer experience. I want the algorithm to be more personalized to me. These are at face value, quite basic asks, but this is what builds an incredible experience. And frankly, this is what got us to being the great company we are. And yes, the technology has been innovating and iterating over time. And obviously, we have to evolve with where the category is. But ultimately, the strategy doesn't change. Just listen to women and give them what they want. It's very simple, and that's exactly what we're doing, and that's how we win with the category.
Operator: We have no further questions. So this concludes our Q&A and today's conference call. We'd like to thank you for your participation. You may now disconnect your lines.